Operator: Thank you for standing by, and welcome to the Paladin Energy Limited March 2025 Quarterly Results Call. [Operator Instructions] I would now like to hand the conference over to Mr. Ian Purdy, CEO. Please go ahead.
Ian Purdy: Thank you, everyone, for joining our third quarter conference call. With me today are Paul Hemburrow, our Chief Operating Officer; Anna Sudlow, our Chief Financial Officer; and Alex Rybak, our Chief Commercial Officer. I want to start by acknowledging the challenges we faced during the quarter, in particular, the significant rain event in Namibia and the current volatility and uncertainty across the global equity markets. Despite these challenges, today's reports show strong progress in both Namibia and Canada across a wide range of activities, demonstrating that we are fully committed to delivering strong results. You're all aware of the significant weather event, which impacted the Langer Heinrich Mine in March. Paul will take you through the great recovery work, which has been completed, but I wanted to take this opportunity to call out the team at Langer Heinrich. I was in Namibia with the team as they were recovering from the flooding. Their response and swift safe recovery program is a credit to them all. But what is even more remarkable is that a proportion of our employees and their families were personally impacted by the floods, yet came to work, prioritizing the recovery of the mine despite what was going on at home. In Canada, we've seen some important steps forward in delivering value from the PLS project, including 2 Mutual Benefit Agreements signed with First Nations during the quarter. You will also have noticed in the quarterly that the practical integration of our Paladin and Fission teams is largely complete, so we can fully focus on delivering results for our shareholders. Thanks again for attending our call. I'll now hand over to Paul to run you through the operational highlights for the quarter.
Paul Hemburrow: Thank you, Ian, and good morning, everyone. I'm pleased to have the opportunity today to talk through Paladin's quarterly results and, in particular, the operational highlights. Paladin recorded a wide range of achievements during the quarter, including the highest Langer Heinrich Mine quarterly production to date as part of the ongoing operational ramp-up. Sales for the quarter were 872,000 pounds at an average realized price of $69.90 per pound. We commenced initial mining activities, which I'll go through in more detail shortly. In Canada, we were granted an exemption by the Canadian government from the Non-Resident Ownership Policy for PLS, and we also signed Mutual Benefits Agreements with 2 First Nations groups, as Ian mentioned. Finally, unrestricted cash and short-term investments of $127.8 million as at 31 March 2025, with undrawn debt facilities of USD 50 million, and first scheduled term loan repayments were completed. More specifically, in Namibia, I'd like to give you an update from Langer Heinrich. Langer Heinrich produced 745,000 pounds of uranium during the quarter, which is a 17% increase on the previous quarter's production and brings total production to over 2 million pounds in the financial year-to-date. This result is despite the one in 50-year rain event that hit Langer Heinrich and surrounding areas, and I'm very proud of the team's efforts. There's nothing more important than the safety of our people, and I'm pleased to report that there were no injuries during the flooding event and none during the recovery efforts. For the quarter, there were no significant safety events or reportable environmental incidents. You will be aware that the rain caused a range of disruptions, including suspension of operations, saturation of the existing stockpiles and impacts on the processing plant chemistry. Local access roads and civil infrastructure were also damaged by the widespread rainfall. And as Ian mentioned earlier, the communities and our employees were impacted. We intended to accelerate mining by opening the G3A segment of the G-pit, which had historically been partially mined. Floating in the G3A has caused a delay to the start of the mining ramp-up. G2A, which is an adjacent pit with less historical development, was not flooded and was chosen as our alternative pit to commence mining. The G-pit will ultimately become one single open pit. All approvals for mining activities are in place. The haul roads and infrastructure between the G-pit and the ROM have been refurbished and is now fully operational. We've managed to mobilize a significant amount of equipment to site, and we have started recruitment of operators and commenced their training. The equipment that we have on site includes 3 6015 Caterpillar excavators, 18 Komatsu 785 rigid dump trucks, 4 Sandvik Di605 blast hole drill rigs and a range of ancillary equipment. This, of course, is in addition to our existing fleet that we have on the stockpile managing the reclaim. With our drill and blast equipment mobilized to site, we managed to blast G2A pit in April and have commenced hauling material to the ROM and the crushers. This was our first blast in nearly a decade and was successfully and safely executed. It's a very -- it's a fantastic milestone for the company, and I'm really pleased about the efforts that the team made to make this happen. Also in Namibia, we're maintaining our focus on the community and are supporting various local initiatives, including donating an ambulance to the local hospital, providing equipment to support the police in keeping our people safe in our community and the provision of IT equipment, enabling upskilling of school children and job seekers. I'll just provide a quick overview of progress at Paladin Canada. We've had a range of achievements post acquisition of Fission Uranium Corp. that have enhanced the future of the PLS project. Notably, we signed those 2 mutual beneficial -- benefit agreements in February with the Buffalo River Dene Nation and the Clearwater River Dene Nation in order that the development of the PLS project delivers shared economic and social benefits to the local community. Additionally, Paladin was granted an exemption from Canada's Non-Resident Ownership Policy for PLS by the Canadian Minister for Energy and Natural Resources in March. Winter drilling programs at both PLS and Michelin projects have progressed well over the quarter, and those results will be used to inform and guide our future drilling activities at both locations. I've had the opportunity to spend some time in Saskatchewan and at the Michelin Project, and I've been really impressed by the teamwork on those projects and particularly their commitment to achieving results over the winter period. So in summary, and just to recap, while we faced serious challenges at Langer Heinrich, we made really good progress on recovering the operation. We've maintained high overall recovery rates and mobilizing equipment to site. We got our first blast away and are looking forward to getting on with mining this quarter. In Canada, we continue to progress in environmental approvals at PLS in preparation for the exploration programs of both Michelin and PLS. And I'll now hand back to Ian. Thanks, Ian.
Ian Purdy: Thanks, Paul. As you've heard, we've made really good progress despite some challenges in the quarter. We look forward to continuing the ramp-up with the introduction of mining at Langer Heinrich, and we also look forward to progressing the approvals processes at PLS. I'd now like to open the floor to questions.
Operator: [Operator Instructions] Your first question comes from Alistair Rankin from RBC Capital Markets.
Alistair Rankin : Ian, Anna, Paul and Alex, congrats on the strong results despite the tough conditions. Just my first question around the G2A pit. What's your time line or rough time line you've got sort of blending that material with the existing stockpile material and the processing circuit?
Paul Hemburrow: Yes. Thanks for the question, Alistair. We blasted that pit in April, and we've started mobilizing that material through to the crushers and to the ROM. Early indications are positive. And so we are continuing to develop our blend strategy. What's important about the blend strategy is that we have some -- quite a bit of wet material on the stockpile. The mined material brings us course, dry material. And the impact that we are expecting to see is improved settling, particularly through the CCDs, which should drive an uplift in our throughput. So that process has started. We'll continue to optimize that blend strategy in the current quarter.
Alistair Rankin : Okay. That's clear. Just a little bit more on the G-pit. Looking at the feasible -- looking at the technical report that was put out in June last year, it says there's around 900,000 tonnes of high-grade material at 819 ppm. With that in mind, what kind of upside to the grade that you're targeting from blending that material with the stockpile material?
Paul Hemburrow: Yes. Alistair, the long-term plan remains unchanged. And the life of mine grade, we expect to be consistent with our previous mine plan. So in any pit that we have at Langer Heinrich, there's a range of grades. And G-pit, of course, is no different. So there is a proportion of which is classified as high grade. The vast majority is a medium grade. And of course, there's low-grade material. So what we're trying to do is optimize our mine plan to give us consistent feed grade and optimize the cost of loading and hauling that material to the crushers. So what we anticipate is -- over the life of mine is to maintain that target grade as we reported earlier.
Operator: Your next question comes from Cameron Taylor from Bank of America.
Cameron Taylor : Thanks for the strong results, as Alistair mentioned. Just on the mining of the G-pits. I just remember reading in the technical report sort of H and J-pits were the higher grade, and they were looking to be mined first. Why are we mining the G-pits? Is it a cost issue? Is there any sort of strategy there as to why we've targeted those pits -- or you've targeted those pits first?
Paul Hemburrow: Yes. Thanks, Cam. If you recall, our original plan was to commence mining in July. And what we've done is made a pretty earnest attempt at bringing that mining forward. In order to accelerate mining, what we've targeted is the G-pits, mostly for the reason that there has been some work done in the G-pits previously. G3A, which was the flooded pit, had already actually been blasted. And if not for the flooding, we potentially could have been loading and hauling out of that pretty quickly. G2A is adjacent, and we are modifying the sequence, mostly because it gives us that ability to accelerate the ramp-up prior to July. The alternative pathway from July onwards would be stripping and clearing top soil, preparing our blast heads, blasting, overburden removal. So this was a really good way that we could accelerate the mining program.
Cameron Taylor : Okay. That's helpful. And what sort of -- when do we start the plant back up again? What kind of run rate are we at, at the moment in terms of production? I mean has the recovery been as quick as you'd expected given the amount of rain? And had that guidance of 3 million to 3.6 million pounds still been in play, would that be achievable by the end of this financial year?
Paul Hemburrow: Thanks, Cam. In terms of the plant, from the rain event, we saw a disruption at the plant, and there has been some disruption carryover into early April. The plant is now fully recovered. We've got a little bit of work to do to deliver an uplift in overall recovery. But for the quarter, that was sustained within our target levels. My expectation is that we maintain this momentum into the current quarter. So yes, I'm feeling that the results early April, I expect those to carry on into the quarter. And I expect an uplift in this quarter compared to the last.
Cameron Taylor : So an uplift in quarter-on-quarter. Okay. That's helpful. And just maybe one last one I can squeeze in. Given the amount of rain you've had, obviously, unprecedented one in how many thousand years, but have you made any improvements to prevent this flooding to occur again, mainly on the haul roads and access roads? Is there anything you can improve there to make sure that further rain events are less disruptive?
Paul Hemburrow: Yes. Thanks, Cam. In fact, what we actually did prior to opening was did a hydrology study across the whole site, and we had already put in place a significant amount of bonding across the site. We put in place floodways. And what actually happened during the rain event was we were able to direct the vast amount of water into the tailings facility and also into J-pit. At the eastern end of the mine where the G-pit is, we had some inflows from the South that were more than we had expected in that study. So what we do know, though, is that our flood mitigation largely worked and did direct the water flows where we wanted them. There's probably a bit more work and some learnings from this flood event, particularly at the eastern end of the pit around the -- particularly around those G-pits. So that work has already commenced as part of the recovery efforts to refurbish the road network and the bonding at that end of the plant.
Operator: Your next question comes from James Bullen from CGS.
James Bullen : Just a quick question. So operations are back to normal. You've commenced mining. What is holding you back from reissuing guidance here?
Ian Purdy: So I'll answer that one. So there's nothing holding us back from issuing guidance. But what we want to do, given our issues this year with our guidance, we -- when we issued guidance, we want to be 100% sure that we can achieve or exceed that guidance obviously because that's always the ultimate objective. So what we're doing this year, as we've said, we are looking to provide guidance at the end of August. There's several factors that will be completed by the end of August. Firstly, we would have gone through our full 0-based budgeting process, which is a comprehensive process that corporates do every year. That results in an internal view of what we think the results may be. That process has commenced and will run for the next couple of months, as all corporates do. Secondly, we're still in ramp-up, James. Let's -- I know the market is keen for us to move on from ramp-up, but it's a 2-year ramp-up, right? So the new element that we've just introduced to our operation is mining feed. Now we want to see the results of the mining feed for several months and get a real handle on our mining productivity, our mining costs and the impact not only on the grade but on the throughput, as Paul said, that we're expecting. Now that process will run over the next few months, and I'm really pleased that the team has started introducing mining feed already. Now you bring that track record and you bring the budgeting process and you look at August, and we'll have some really good numbers to share with the market. Also, let's not forget, we've got a fantastic project in Canada called the PLS project. We're looking at our time lines. We're looking at our priorities in terms of approvals and moving that project forward. And we've got a fair chunk of work underway on that as well. So we feel really confident that late August, we'll come to the market with some fantastic numbers that we can stand behind. But most importantly, James, we'll have some empirical track record that supports our ramp-up assumptions going forward.
James Bullen : That's super helpful. And obviously, there has been a little bit of conjecture in the market post the rain event about your ability to deliver into all of your contracts and whether you'd be able to do that without tapping into the spot market. How are you feeling about how you're positioned given how quickly you've bounced back here in terms of production?
Ian Purdy: Alex, do you want to answer that one?
Alexander Rybak : Yes. Thanks, James. Look, we -- first of all, we've met all of our delivery obligations to date. And as we said previously, we have a number of mechanisms to manage our future deliveries. So we obviously initially built our contract book with the principle of expect the expected, and we've left significant uncommitted volumes in our portfolio. We've also got currently in our books significant flex up and flex down provisions that we're able to exercise. And lastly, we've got relevant contract protection mechanisms as well to handle such weather events. So we've notified all of our customers of the weather event. Our customers have been very supportive and flexible. A number of them have offered to delay deliveries if we need to. So we're working very constructively with our customers, and we have a number of levers in our book to manage our future deliveries, James.
Operator: Your next question comes from Shannon Sinha from Morgan Stanley.
Shannon Sinha : Ian, Paul and Alex, congrats on a good quarter. I just wanted to ask around recoveries. So they were quite good this quarter as well. What could we expect to see from recoveries when we start processing some more of the saturated ore materials?
Paul Hemburrow: Yes. Thanks, Shannon. Look, recovery rates are actually already within our target range of 85 to 90. So like every operation, what we intend to do is to continue to optimize to seek out some improvement opportunities. But the focus now is actually on optimizing that blend strategy. It's getting the efficiency of our mining fleet. It's processing the stockpile material, and -- but we'll continue to work on those recoveries. But they're well within the range that we expect. And it's not our biggest focus right now.
Shannon Sinha : Okay. But I just wanted to check, once you start like processing the saturated ore, that's not going to change those recoveries, and we won't see lower recoveries coming through?
Paul Hemburrow: No, no, it's not going to change that, no.
Shannon Sinha : Okay. Cool. And then maybe if I just ask one on PLS. So I saw that you've signed those 2 agreements there. What other sort of indigenous nation agreements need to be signed there to progress the project?
Ian Purdy: Yes. We've got a bit more work to do on there. The 2 agreements we signed were really, really important for us. And I think it's a validation of the recognition and support for the Paladin ownership. Obviously, with the new company coming on board, new ownership structure, the First Nation parties are very keen to understand who we are, what our approach to business is and what differences will there be under the new ownership structure. Really, really pleased that we were able to work with those 2 parties to highlight the fact that, number one, Paladin ownership of this asset is actually positive for everyone and positive in terms of bringing the asset forward. Secondly, we are a good owner and a good neighbor. And we genuinely endeavor to work with our local communities for sustainable benefits for everyone. We pointed to our track record in Namibia. We introduced ourselves. We met face to face. And really importantly, we've got a very strong local Fission team that we are totally supporting. So I think those 2 signings is a really important acknowledgment and an endorsement of the Paladin positive influence and ownership of that asset. There's other parties that we're talking to. Fission has had a relationship with all parties spanning back coming close to 20 years, and we'll continue to work on getting the other approvals we need. One of the main focuses right now is we're really well advanced on our environmental approval, our provisional environmental approval. And we'd like to see that come in, in the second half of this year. So things are going really well. We're moving forward. And we've got a great team on the ground that's really well connected to the local communities.
Operator: Your next question comes from Regan Burrows from Bell Potter Securities.
Regan Burrows : First question, perhaps for Alex, just on the contract book. I mean for FY '26, can you give us a bit more guidance as to what is already contracted?
Alexander Rybak : Yes, Regan. We've provided a bit more information in our presentation about a contract book because I think people wanted to understand that a little bit better. We've recognized that. So you'll see we have 22 -- roughly 22 million pounds contracted over '25 to '30. We obviously don't provide a year-by-year breakdown for obvious commercial reasons. But we do have disclosed the overall volume of contracts over the next 6 years. And we also disclosed our pricing-related mechanisms as well that is running at about 60-40 split, market-related versus base escalator. So I think that will give people some information to be able to model our portfolio in a more informed way, Regan.
Regan Burrows : Okay. And then potentially, just following on from that, I mean the initial guidance for FY '25, it was roughly sort of at the midpoint 93% of production you're going to be selling into the sales contracts. I understand there's probably some flexibility with CNNC in those numbers. But just to try and understand FY '26, how much flexibility do you have in the contract book? And how does that sort of match against your ramp-up profile now?
Alexander Rybak : Yes. So we do have quite a significant amount of flexibility because most of it does come from the CNNC offtake, which is for 25% of production. So with that, as I said, it's one of our mechanisms that allows us to flex deliveries up and down. There's others as well. Obviously, we're in discussions with our customers. We have left uncommitted volumes in our portfolio as well. So with all that, we feel very confident that we can manage our future deliveries. As I said, we had very constructive discussions with our customers. They're very supportive, and we continue to work with them on future deliveries.
Regan Burrows : Okay. And potentially just one more question on the stockpile. How much, I guess, is available for processing currently on, say, a percentage basis? And over the next sort of 3 to 6 months, how does that mix between fresh ore and stockpile ore how -- what's the sort of proportion of those 2 going into the plant?
Paul Hemburrow: Yes. Thanks, Regan. What we'll do is we'll figure that out on what gives us the optimized throughput rates and grade. So at the moment, we've been, early this quarter, been mining onto the stockpile -- onto the ROM rather and direct feed to crusher. And we're working currently on what that blend strategy looks like. And that will determine how long it takes for us to move through the stockpiled ore. But fundamentally, it's going to be based on throughput and grade optimization.
Regan Burrows : Okay. And I guess no comments on what's, I guess, the portion that's saturated and unable to be used at this point in time? It's too hard to tell or...
Paul Hemburrow: What we've typically done is when you draw off that stockpile, we take it on to the fingers, and that -- the finger is where we blend from. And we segregate on the basis of both grade and handleability. So as that material presents itself from both the stockpile and the mine, we're in a position then to determine what's that optimum mix of dry stockpile, sticky stockpile and course mine material in order to give us that best throughput. So over time, we'll develop that understanding, trial a range of options and work out what that best blend strategy is going to be for us moving forward.
Operator: Your next question comes from Daniel Roden from Jefferies.
Daniel Roden : Congrats on the quarter. I just wanted to get a sense of, I guess, the -- pre the weather events. What was the, I guess, operating rates of production from Langer Heinrich kind of pre all of the disruptions?
Paul Hemburrow: Yes. Look, thanks for the question, Daniel. The first weather event occurred on the 7th, and then we had the subsequent event later in the month on the 19th. It was pretty early days in March, but we were actually on track for a pretty good month. The results were pretty positive, but it was really only a week. At the back end or the middle of the month, we struggled with challenging conditions, slippery roads, water, surface water around the infrastructure. And at the back end, we started recovering fairly quickly. So it's quite difficult to sort of talk through those run rates. What I can say is, so far this quarter, the results are looking relatively strong. So my expectation is we carry that momentum through this quarter. We'll focus on that blend strategy, optimizing our grade. And we expect that momentum to deliver stronger results this quarter than last.
Daniel Roden : Okay. Yes. No, I was just trying to get a sense of how well the plant was going, everything to give the indication of how well it could go when everything kind of returns back to normal. I guess what about the quarter exit rates? Like are you able to give, I guess, a quantifiable number on how -- what the plant is operating at today?
Paul Hemburrow: The quarter result is 17% uplift in overall production. It's a pleasing result. Like I sort of said a little bit earlier that our April results are really focused on getting that mining material in. We're getting plenty of dry, course material. Blend strategy seems to be progressing pretty well. We've got quite a few weeks now of that material moving through the plant. We know that it takes somewhere around that 50-day mark to process the material. We expect to see some improvements in settling rates in the CCDs. So it's -- we've got a little ways to go to make sure that we understand how that material is actually going to operate through the plant. We're currently maintaining our overall recovery rates within the target range. So we've just kind of got to keep working towards uplifting our mining productivity, focused on throughput and optimizing the grade as we go through the G-pits. My expectation is we'll maintain that momentum through this quarter. And we'll see what happens at the end of the quarter.
Daniel Roden : Okay. Maybe changing tack a little bit. One of the issues was delivery of the mining equipment in the March quarter. Are you able to comment on how that's, I guess, progressed to date? Like have you got all of the gear on site? Are you still on deliveries?
Paul Hemburrow: Yes. So we've had most of the mining equipment now in the last couple of weeks arrive on site. So the key piece of equipment that we actually have, another 6015 excavators, another 150-tonne excavators, Caterpillar, the brand-new machine. So we had some delays getting those across the border, particularly as a consequence of the Rehoboth Bridge issue. They found their way through Botswana and then into Namibia, which is really positive. We've had 18 Komatsu 785 rigid dump trucks delivered. So that gives us sufficient capacity to commence G-pit mining. It's a longer haul, obviously, than stockpile but not as long as potentially H-pit. So sufficient capacity there. Now we've got half a dozen new dozers, a couple of Komatsu 275s, a couple of 4 Caterpillar DARs. We have some ancillary equipment, water bowsers, fuel trucks, service trucks, lighting plants. And we've got the existing 10 Volvo ADT 60s that we have on the stockpile reclaim. So we've got sufficient capacity to commence mining. And then in the longer term, later this calendar year, we'll have the additional fleet arrive to ramp up full capacity.
Daniel Roden : Okay. Okay. Yes. Because it looks like you've mentioned you've pivoted to the G2A pit, but it looks like G3A is progressing its dewatering quite well. So I was trying to get an understanding of when you would be in a position and if you would be in a position to be able to accelerate both pits at the same time. Do you have enough fleet to be able to do that? And I guess given that you're not going to be able to feed your saturated stockpiles by themselves, you need to blend those in with your ore. So having the ability to accelerate those, I imagine, would be quite beneficial for both pits being extracted.
Paul Hemburrow: Yes, you're right, Daniel. The G3A pit dewatering is largely complete. We've got a sort of a fine slurry sitting at the bottom of that. We need to drive that material out, clean it out at the bottom of the pit, and then we'll be in reasonable shape to start mining that pit. I don't really want to anticipate timing of that. So we'll focus on drilling, blasting more capacity in G2A. But ultimately, at some point, whether it's G2A, G3A, G3B, they eventually combine to form the larger G-pit. And our plan is to execute our mining schedule to get G-pit fully up and running.
Daniel Roden : Okay. And maybe just one last one for me, maybe for Alex. Are you able to just give us a bit of an update on the uranium market, how you're seeing things? Obviously, what's going on at the moment with the U.S. tariffs and changing supply chains? I guess what are you guys seeing from Paladin's perspective?
Alexander Rybak : Yes, sure, Daniel. I was actually just in Montreal 2 weeks ago at the WNFC, meeting with all of our utility customers, the converters, the enrichers. It's a really interesting timing and conference from my perspective given everything that's going on in the industry. On one hand, everybody realizes this shortage of uranium that is here now and is getting larger by the year. On the other hand, people have been distracted by some serious sort of geopolitical movements, conversion and enrichment shortages and then more recently the tariffs. So that's being very topical. I think a lot of utilities were -- breathed a sigh of relief when uranium was exempt. A lot of market participants were trying to understand what that -- and particularly utilities because ultimately, they're the ones that bear that cost most of the time. And a lot of the utilities were trying to understand what that would mean. But now that that's being clarified and uranium being exempt, they're again looking at their procurement strategies. In the last 2 weeks, I've seen 2 RFPs come out of a U.S. and a European utility, interestingly, with supply starting in '26, which is actually quite unusual because they have left that -- you can see that have left it a little bit late. But the discussions are ongoing with a lot of our customers. Utilities are contracting as recent volumes suggest. They're still obviously below replacement level contracting. But the market is quite healthy. The term price is holding at $80 a pound, which again is quite a healthy level from my point of view. So generally speaking, I see the market is quite positive, and we expect the market to start returning back to fundamental contracting level of activity. And hopefully, the spot prices will reflect that as well.
Ian Purdy: Everyone, it's Ian. Just letting everyone know. We've still got a fair few questions, and we're quite short on time. Can I ask everyone just to give us one question? And we're very happy to follow up after the call on a one-on-one basis. Thanks very much.
Operator: Your next question comes from Milan Tomic from JPMorgan.
Milan Tomic : Just had a question in terms of production over the next year. Are we -- can we still assume that that's tracking broadly in line with what was outlined in the EFS just in terms of, I guess, the mill throughput rates? Is that kind of similar to what was outlined in the study? Or are we a bit more conservative now with that moving forward?
Ian Purdy: Thanks for the question. We will -- actually, let us work through the process we articulated. Let us do our budget. Let us get the mining up and running. And we're working towards providing that guidance late in August.
Operator: Your next question comes from Glyn Lawcock from Barrenjoey.
Glyn Lawcock : Can I just clarify? You said in the release today that you still got some issues stabilizing the chemistry, although the processing operations have returned. What does that actually mean? It sounds like recoveries are back to normal. So I just wanted to understand what that is. And then when you say strong results for the June quarter, is that strong production, throughput, recoveries or all of the above?
Paul Hemburrow: Yes. Thanks, Glyn. With respect to process chemistry, what we saw in March during the flooding event was a couple of impacts. Specifically, we had some challenges getting access of people to site. We had challenges getting people into the processing facility. And we had gaps in our feed to the plant. We had an influx of freshwater into the tailings facility. And what that meant is when we recovered that water back into process water, we didn't necessarily have all of the reagents that you'd normally recover out of the tailings. When we put that back into the process, it means that we didn't have the right chemistry from the lack of reagents in tailings. And it took us a little bit of time to recover that. We saw a bit of a dip in overall recoveries as we sought to rebalance. Additionally, we've seen some impact of that loss of feed move into April as well. So as that sort of slug of no feed move through the plant, we've had a few challenges rebalancing the circuit. That now has largely been resolved, and we're seeing recovery rates back to normal. With respect to expectations around strong results, I think Ian's probably given a view on guidance and when we'll be releasing that. But my expectation is that will continue to drive productivity in our mine fleet. We'll continue to optimize that blend strategy, and that should deliver us an improvement in throughput rates and improvement in grade given that grade will become more within our control over the following quarter.
Glyn Lawcock : Okay. But are you saying we expect the June quarter production then to at least be equal or better than the March quarter? Is that what your expectation is with 1/3 of the way through?
Ian Purdy: Yes, Glyn, it's Ian. We're not going to give very specific guidance. But what I can say, we're in ramp-up. So our ultimate objective is a quarter-on-quarter improvement until you achieve steady state. And that's what we strive for. And we're really pleased to have shown that improvement this quarter despite the rain event. So if our ramp-up is 100% successful, we will aim for quarter-on-quarter improvement, and we see that as a strong result. Obviously, ramp-ups aren't linear. You get unexpected events that you can't predict or control. So every quarter, we'll focus on quarter-on-quarter improvement. We'll deal with any uncontrollables as best we can, and we'll continue to report to the market. But that's the framework we're operating under. And then by the time we get to August, we feel we'll be in a position to provide that annual framework information that obviously the market is looking for.
Operator: Your next question comes from Dim Ariyasinghe from UBS.
Dim Ariyasinghe : Congrats on the result. Maybe just on the contract book again. I know you want to be -- you need to be somewhat vague in, I assume, calendar year '25 and calendar year '26 volumes. But can you let me know why that is? You've given us a fair few data points. So across life of mine, I think you're close to 50% contracted. You've told us in the past that earlier years are above that. But yes, I don't know whether it's 70% contracted or 75% contracted. It feels like you've got a bunch of get-outs as well or ability to flex. Can you help us understand what these commitments are better just for this year and CY '26, please? Like some numbers around this would be great. And yes, I just don't understand why when you've given basically every other data point, why we can't have those.
Ian Purdy: Yes. It's Ian here. Look, a good question and a fair question. Let me explain it very clearly. It's commercial sensitivity. The uranium market is a very competitive market. Our customers insist on absolute confidentiality, and we're competing against other producers in a market where volumes and pricing availability is a crucial lever in terms of maximizing the outcome of your contract negotiations. So because of that commercial sensitivity, we will not be providing that level of granularity. And I note other companies in our position also do not provide that granularity. So unfortunately, it's due to the commercial uranium market. If we could provide it to the market, obviously, we would. We can't due to that commercial sensitivity. What we do is we have all the appropriate disclosures and provide the metrics that allow the market to do a reasonable model of our results year-on-year. Alex has stated that our contract book is in good standing with metal deliveries. We're having really constructive conversations with our customers. We've got lots of mechanisms to control unders and overs. We've got a really supportive cohort of customers. You've got the total pounds. And I think we're in really good shape. The next piece of the jigsaw will be when we provide our August guidance. We'll no doubt provide a realized price that we expect for the year on the various sensitivities again. But at this stage, due to those commercial sensitivities, we will not be giving that granular level of detail, I'm afraid.
Dim Ariyasinghe : Yes. It's not a granular level though. It's just one -- yes, you've got 12 offtakes. Can you give us a percentage number, yes, or volume? I don't think that gives away too much. And if anything, the more you have contracted, the better it is for, I guess, your negotiations, right? Or is that not the way to think about it?
Ian Purdy: Look, it's a very clear answer, and we will provide the appropriate corporate guidance in August like we did in the prior year regarding realized price and expected revenue outcomes. So the information we're providing the market is in -- on line with our peers and appropriate for this market. So if you give us a chance to work through the budget process, get the mining up and running, we'll provide that corporate guidance later in August. And I think at this stage, the information we've provided is the information that's available to the market.
Operator: Your next question comes from Matt Hope from Ord Minnett.
Matt Hope : Congrats on the results. I just wanted to check on the tailings capacity. I understand you diverted floodwater in there and presumably pumped to pit G3A in there. Is there sufficient tailings capacity? Or have you got to accelerate a new tailings facility?
Paul Hemburrow: Matt, thanks for the question. We've got plenty of tailings capacity. And one of the good things about what we did was we can recover the vast majority of that water. Now there wasn't a lot of fine content that traveled with it. So it didn't really -- and it won't have any significant impact on that tailings capacity. For a mine like this, it's absolutely normal to have a continuous process of constructing new tailings capacity. Our largest capital project at the moment is a tailings dam. It's in great shape. And we expect that project to be completed in the next -- in this current quarter, actually. So we don't have an issue with tailings capacity.
Operator: Your next question comes from Branko Skocic from E&P.
Branko Skocic : Unit costs looked attractive considering the weather. So I just wanted to understand, I guess, how sustainable the $41 per pound number is, and perhaps more importantly, what your view is on all-in sustaining costs near term, please.
Anna Sudlow : Yes, sure. Thanks for the question. So obviously, the cost of production for the quarter is reflective of the higher production volumes. We are, as Paul has talked about, commencing mining. So we would expect some increase in costs as we initially ramp up. How that will flow through to production cost per pound is ultimately going to depend on what those production volumes are in the quarter. So it's probably a little early to say. We're pretty happy with the current cash margin between our cost of production and then average realized price. So I think we've got a better room to move there, and we'll wait and see how the quarterly results go.
Ian Purdy: Look, thanks, everyone. We're a little bit over time. Thanks very much for your attendance today. And if you do have further questions, please reach out directly to Paula straight after this call, and we'll return all those queries today. So thanks very much, and we look forward to reporting next quarter.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.